Operator: Welcome to the Flexsteel Industries Fiscal Year 2012 Operating Results Conference Call. At this time, I will turn the call over to Mr. Tom Hall -- Tim Hall of Flexsteel, Senior Vice President of Finance and Chief Financial Officer. You may go ahead. 
Timothy Hall: Thanks, Stephanie. Good morning, and welcome to our conference call for the fiscal year ended June 30, 2012. We appreciate your participation. Joining me this morning is Ms. Karel Czanderna, our President and Chief Executive Officer.
 We may make forward-looking statements during this call. While these statements reflect our best judgment at the present time, they are subject to risk and uncertainties as we describe in our SEC filings. Accordingly, our actual results may differ materially from those of our current expectations. We undertake no obligation to update any forward-looking statements made during the call.
 I will highlight some items from our press release, before I turn the call over to Karel.
 Net sales for the quarter ended June 30, 2012 were $93.9 million, an increase of $9.7 million or 12% from the prior-year quarter. For the quarter, our Residential net sales increased 16%, $10.4 million to $74.8 million. Our Commercial sales were down slightly for the quarter. Net sales for the fiscal year ended June 30, 2012 were $352.1 million compared to the prior-year net sales of $339.4 million, an increase of 4% or $12.7 million.
 Also for the fiscal year, our Residential net sales were up 7% to $275.4 million, while our Commercial sales decreased $4.6 million or 6% to $76.7 million.
 We're pleased to report record net income for the quarter ended June 30, 2012, $0.61 per share compared to $0.50 a share in the prior-year quarter. We also have record net income for the fiscal year ended June 30, 2012, $13.1 million or $1.86 per share compared to net income of $10.4 million or $1.50 per share in the prior-year period, an increase of 25%.
 Our net income for the quarter and the fiscal year benefited from better absorption of fixed costs on higher shipments. The fiscal year also benefited from lower freight rates and a lower bad debt expense, which was offset by higher legal and professional fees of approximately 0.6% of sales, which is primarily related to the Indiana civil suit that we've previously disclosed. The prior-year net income included a pre-tax charge of approximately $1 million due to the facility closing costs, from employee separation and other closing costs.
 Our balance sheet remained strong. Working capital is $103.7 million, and we have no bank borrowings. Our inventories have increased by approximately $9 million from the previous year. The additional investments supports the increases in Residential sales volume and expanded product offerings. It also reflects the timing of inventory receipts, especially for longer lead time items, such as imported finished products and components that we use in our domestic manufacturing. Capital expenditures were $10.9 million for the fiscal year, and that includes $8.8 million related to the construction of our corporate office building.
 The company expects that we will expend -- or our capital expenditures will decrease to approximately $6 million for fiscal 2013, and that includes $2.6 million for the completion of our corporate office building. We will be moving into our building later this month.
 With that, let me turn the call over to Karel Czanderna, our President and Chief Executive Officer. Karel? 
Karel Czanderna: Good morning and thank you for joining our conference call.
 We are pleased to report a 25% increase in our full year net income, and especially that this was our fourth quarter in a row of increasing earnings. Based on historical levels, our gross margin of 25% for the fourth quarter 2012 was very high. We continued to build on the successes from our turnaround that started back in 2009. This quarter's sales were the best since June of 2008. Residential products had another year of solid mid-single-digit growth.
 For the quarter and fiscal year, Residential upholstered and the Ready-to-Assemble products outperformed case goods. At the recent Las Vegas Summer Market, I was introduced to a number of our customers by our sales team, and our product introductions continued to be well received.
 Commercial office and vehicle seating sales were similar to 2011, again in 2012, and we remain ready to serve the hospitality market.
 In my first 45 days, with the assistance and aid of Ron Klosterman, I have met some major suppliers, have visited employees at each of our operating facilities and headquarters. I've talked with our directors and several industry experts. Through this, it is obvious that our focus on serving our customers with quality products is why Flexsteel has completed another successful quarter and fiscal year.
 Stephanie, at this time, please open the phone lines for questions. 
Operator: [Operator Instructions] We have no questions in queue at this time. I'll turn the call back over to the presenters. 
Karel Czanderna: Thank you, Stephanie. Wrapping up, I am privileged to have joined the Flexsteel team to build on 119 years of success in the furniture industry, and we are eager to write the next chapter in Flexsteel's history.
 Thank you for your interest in Flexsteel and for participating in our conference call. We look forward to talking with you again in the middle of October when we review our first quarter fiscal year 2013 operating results. 
Operator: This concludes today's conference call. You may now disconnect.